Operator: Greetings, and welcome to the Sterling’ Second Quarter 2021 Earnings Conference Call and Webcast. As a reminder this conference is being recorded and all participants are in a listen-only mode. There are accompanying slides on the Investor Relations section of the company’s website. Before turning the call over to Mr. Joe Cutillo, Sterling’s Chief Executive Officer, I will read the Safe Harbor statement. Some discussions made today may include forward-looking statements. Actual results could differ materially from the statements made today. Please refer to Sterling’s most recent 10-K and 10-Q filings for a more complete description of risk factors that could affect these projections and assumptions. The company assumes no obligations to update forward-looking statements as a result of new information, future events or otherwise.
Joe Cutillo: Thanks, Laura. Good morning, everyone, and thank you for joining today’s call. I would like to start by thanking all of our Sterling employees for delivering another outstanding quarter in the wake of some very harsh conditions. In the quarter, we saw almost one full month of nonstop rain in Texas. A tropical storm rolled through the southeast. Material availability issues, and material inflation, that just would not stop. In a labor pool that seems to have vanished. Even with all that our teams battled through the challenges to deliver a quarter that beat all of our expectations. These results are yet another example of our culture and our ability to take care of our customers, our people and our communities, while delivering fantastic results in challenging times. Let’s start by talking about our people and their safety. In the quarter, we had zero lost time incidents. We have now worked over 4 million hours or 11 months without the lost time incident. On average, our recordable rates and lost time incident rates are almost 10 times better than our industry average and are on par with the oil and gas industry. Our people are our most important asset and making sure they go home safe every evening is always our first priority. Now, let’s talk about some of the financial results in the quarter. Our strategy focused on higher margin lower risk projects while building a platform for future growth continues to pay off. Overall for the quarter, our revenues versus prior year were flat. This may seem unimpressive. But when you take into account that in 2020 we had significant tailwinds helping us is we carried over almost an entire month of Residential and Specialty Service work from Q1 into Q2. Yet this year, we had nothing but headwinds, between losing several weeks of production in Texas in the southeast due to weather and battling material and labor availability issues, it’s amazing, we’re able to match last year’s revenue and income in these conditions. In the quarter, our gross margin declined slightly to 14%. Our operating income was flat and our net income was up 10%. Our earnings per share increased 6% to $0.69 per share. Combined backlog ended the quarter at $1.65 billion and our margin in combined backlog reached a new high of 12.2%.
Ron Ballschmiede: Thanks, Joe, and good morning everyone. I’m pleased to provide a summary of our strong second quarter results. Today’s conference call together with our earnings release, Form 10-Q and the investor deck posted to our website should provide insight into our strategic progress in delivering stronger earnings, cash flow as well as improving liquidity. Now, let me take you through the financial highlights starting with our backlog metrics on Slide 5. At June 30, 2021, our backlog totaled $1.57 billion a 34% increase over the beginning of 2021. Approximately 72% of that backlog increase related to growth in the Heavy Civil segment with a balance of 28% driven by the Specialty Services segment, which includes our land development and commercial businesses. The gross margin in our second quarter backlog was 12.4% compared to 12% at the beginning of the year. The higher backlog gross margin reflects an increase in Specialty Services backlog, which generally has higher margin characteristics than some Heavy Civil projects. Unsigned low-bid awards totaled $75 million at the end of June. We finished the second quarter with combined backlog of $1.646 billion a 7% increase over the beginning of the year. The gross margin of our combined backlog increased to 12.2%, up from 11.8% at the beginning of the year. Our June 30 2021, combined backlog margin of 12.2% is the highest in our recent history. Our first half 2021 book to burn factors were 163% and 118% for backlog and combined backlog respectively. Residential which accounts for 13% of our year-over-year consolidated revenues – year-to-date consolidated revenues does not report backlog as it recognizes revenue as individual concrete slabs are completed.
Joe Cutillo: Thanks, Ron. As we look at the rest of the year. We’re entering the second half cautiously optimistic, is markets remain very strong. But the supply chain remains very fragile and schizophrenic . We do not believe we’ll see material prices stabilize until late fourth quarter 2021 or first quarter 2022.
Operator:  Our first question comes from the line of Brent Thielman with D.A. Davidson. You may proceed with your question.
Brent Thielman: Yes, thank you. I guess Joe or Ron first question, if I take the midpoint of the revenue guidance set sort of implies you’ll grow 3% to 4% in the second half. Where should we expect to see some of the slowness or I guess implied slowness come from as it is Heavy Civil or to Specialty and Residential growth rates sort of ease of what we’ve seen here so far?
Ron Ballschmiede: Yes, it’s really heavy highway where we will see what we’ve been seeing continued minimum growth, probably negative revenues actually, because of the strategic direction to continue to reduce our backlog on that Heavy – that the hard bid work, and replace it with the alternative delivery. So that was a big headwind to follow on the revenue reduction in the first half. That won’t go away. We are not done yet shifting that profile. Although we’ve come a long ways we will see a little bit that and particularly in the fourth quarter is are typically slowed down a bit. And, we’re – we start reaching the unfortunately the snow season there in the back half of fourth quarter. So, we’ll be back to the usual look, slowest quarter in that business will be the fourth quarter. The balance of Residential and Specialty, we don’t see that slowing down.
Brent Thielman: Okay. And does the outlook imply the Residential segment is going to see the same sort of margins that you saw on the first half? I mean, could they get worse from here as you’re trying to play catch up with pricing?
Joe Cutillo: Yes, it’s they’re not going to go up in the second half. We continue to fight increases. I’ll give you an example. We’d passed on an increase two weeks ago for rebar and post-tensioning cables and literally just two days ago, got another 8% increase on the materials, right? We’re passing things out as fast as we can. We’re hoping that things stabilize on a positive front, lumber looks like it’s coming down and kind of September, October timeframe. So, we should see some stabilization there and a little bit of relief on that product, but concrete and steel have not slowed down by any stretch of the imagination. So, I think we’ll be close, we may see a little bit of a further decline, if inflation keeps getting crazy. And we see multi increases in a month, but as we get into the fourth quarter, we really think that starts to begin to stabilize, Brent.
Brent Thielman: Okay. And then on Residential, can we just sort of explore the Phoenix market decision that obviously came a little sooner than I anticipated? I guess beyond Joe, the fact we know it’s a great housing market. I assume there are some different labor and other dynamics to the markets. How do we get comfortable you can execute as well there, as you have in Dallas and Houston?
Joe Cutillo: Yes, the pros and the cons of the Phoenix market, it’s the Phoenix market is generally the fourth or fifth largest market in the U.S. I haven’t seen the latest statistics, but they’re doing about half as many new home starts a year is Houston, and by the way, Houston just past Dallas on housing starts, so it’s the number one market right now. That’s good. The other good is in the Phoenix market, one of the reasons we’re got pulled there, harder faster, quicker is because there aren’t any really big players. One of the things we’ve continued to battle with and take us a little bit longer in the Houston market is, there is two large players in the Houston market. That does not appear to be any large players in the Phoenix market, which helps us get in and get a foothold easier. The biggest challenge is labor. What we’ve done is we’ve taken are to start out. We’ve taken some of our traveling, commercial crews, and put them in Phoenix, they seem to be doing very well. The nice thing about those folks is they spent all their time on the road doing commercial work for us. And that commercial market is not only declined in demand, but we’ve seen a significant pricing decrease in the commercial market. So, we’re reallocating those resources to get a foothold in Phoenix. We can grow I say as fast as we want in Phoenix right now, tremendous demand is going to be how fast we can bring crews up to speed and bring them on. And pricing appears to be good in the market in relative terms. So, we should see, it won’t be up to Dallas margins right away. But we think we can get very close to those Dallas margins over a period of time.
Brent Thielman: Okay. And then last on the Specialty Services, you’re heading into second half with your considerable level bookings. But I guess I’m curious with the market, like are competitive fields like for kind of the smaller, faster kind of book and burn work you participate in that segment? Is it as robust as you’ve seen?
Joe Cutillo: Yes. Surprisingly, I would have really thought when we went into COVID that the – I call it the privateers, the smaller warehouses that are speculative, would have really slowed down and dried up. What actually happened is the Amazons of the world and several others went in and bought up everything that was on the market, least through the southeast, because they didn’t have time to put in additional distribution centers. So, we’re seeing the privateers working as quickly as they can to refill that inventory of spec type warehouses. As you can imagine, it’s not that easy to go out and buy a whole bunch of land and get it permitted today, right? So it’s takes a little bit longer, but that market activity is still very strong.
Brent Thielman: Okay, great. Thank you.
Operator: Our final question comes from the line of Sean Eastman with KeyBanc Capital Markets. You may proceed with your question.
Sean Eastman: Hi, gents. Nice quarter. Complements.
Joe Cutillo: Thanks, Sean.
Sean Eastman: Just touching on the guidance as well, I mean, if we look at the EBITDA guidance, it implies lower at the midpoint implies lower EBITDA and the second half than the first half, yet we kind of have this Residential catch up dynamic. Just curious why that makes sense. I guess, what I’m getting at here is it seems like there might be some conservatism in the outlook. And I’m just curious what in particular warrants caution here? Is it really just Residential, supply chain, labor constraints, or maybe something else? We should be kind of vigilant up as we go into the second half?
Joe Cutillo: Yes. Well I think there’s a little bit of caution on our front in the sense that this material, I got to tell you, it is hand-to-hand combat out there. It’s been a long time, since you have your biggest suppliers calling you and saying, I know I gave you an increase two weeks ago, by the way, here’s another one. Take it or leave it and if you got, two minutes to make a decision or we’re going to sell it to somebody else. It’s just a unique environment and when that stabilizes? I don’t know. Everything we see looks towards the end of this year. As you start hitting the weather, the winter months, and some constructions are slowing down and all that stuff. But then I would have never imagined the number of increases that we’ve seen already this year. And being able to pass those on, there’s always that lag, right that issue. Labor pricing is going up. It is going up incredibly fast. So, when we talk about the labor pool, the good news is we’ve been very fortunate and worked very hard to maintain the pool that we have, input is costing us more. And it’s extremely difficult, if you want to go add people or replace people right now. So, we’re trying not to get over our skis. We see some slowdown and inflation and some timing of a couple projects hit and then start-off a little earlier than we would anticipate. Those are all good things for us. But that’s kind of work. Ron, do you have anything to add to that?
Ron Ballschmiede: No, I think that’s right. Actually, the good news is, we’re tracking certainly from operation, operating income up pretty much as we planned and we didn’t know how to sell supply chain at that point in time. So those are big things to overcome. So, just staying with our original kind of revenue operating ranges that were out there that’s, I think, a pretty good accomplishment, given what we’ve seen in the first half year.
Sean Eastman: Yes, indeed. Okay. And then we seem to talk about the supply chain and labor constraints in the concept – in the context of the Residential business, mostly, I wonder, does this bleed over into the Specialty or Heavy Civil segment at all? Is there any risk there? And I’m curious, in particular, around the Specialty equipment fleet, whether there’s any risk about not being able to support growth and access the yellow iron, et cetera.
Joe Cutillo: Yes, I think, let’s start it certainly the labor issue goes across all sectors. Right. Yes, it’s not good to Residential. The uniqueness of Residential is those markets are up 20%. And we’re not up 20%. Because we don’t have enough labor material to go do all of that. Right. So, we are literally turning down work every day. The Heavy Civil side, because they’re bigger, slower projects we have planned, we can plan ahead longer term, we’ve got people capital and assets for that. In – we’ve seen less of an impact on material, though, we’re seeing availability issues on material, less of a pricing impact as we generally lock into those, or unable in some instances where there have been significant impacts, pass those on to the end customer, there’s clauses that we can do that. The Specialty side, I think similar to the Residential, their staff crude and have the equipment to do the work. I will tell you getting new equipment has taken us a lot longer than originally anticipated, but we are want to catch bigger customers for sure. And in general, they’ve taken very good care of us and replaced our waiting equipment with rental equipment. So, we haven’t lost the capacity. It’s just more of a little bit of a pricing issue where we’re having to rent where we would have normally owned that, that product type thing. But yellow iron pickup trucks take six months to get a pickup truck, standard kind of put in perspective. Standard water pipe that you would call up in the morning, I used to make this stuff, you’d call up in the morning, have a truckload there that afternoon or the next morning, right now, the lead times are 16 weeks, and your price is whatever it is the day they ship. They’re not going to tell you though they ship it, right. And that’s just one of 1000 examples that are going on out there. It’s just a different world than we’ve seen. The good news is, the markets are very strong, so you’re able to offset some of this with volume. The thing that would be worse is if our markets were all down 10% or 15%, we’re seeing supply chain issues and inflation on top of it, we’d really be scrambling. So, we feel good about the market, the supply chain will eventually sort itself out and just hasn’t rebounded yet. So, we’re focused on making sure that market continues to be strong and we’ll fight through the day-to-day battles in the inflation we have and catch that up as we get down the road.
Sean Eastman: Okay, that’s really helpful. And then Specialty the geographic expansion, can you give us a little more color on kind of where you’re going and should we anticipate a similar dynamic to Residential where there could be a bit of a margin drag as you enter those new geographies or is it work differently?
Joe Cutillo: No, it’s different than Residential. We’re going with our core customers, and we’re pricing in. We’re using our same cruise and we’re pricing in that, that cost to be further away. So, that doesn’t impact that. Obviously, we’re – we’ve expanded into Tennessee, we’ve got several jobs now in Tennessee, we’re in Mississippi, get a couple of jobs in Mississippi, looking at Alabama, along with some others. So, we just get – we call it the one step, we want to step one state further away. We’re starting to look at some work up in Maryland. So to get over that Virginia border into the Maryland stuff, we’re bidding on some projects up there. So it’s kind of one step at a time. How do you go 50 miles to 100 miles further than you are today that takes you into a new state with your core customers. But what’s really nice is it’s opened up other opportunities while we’re there. We’re seeing other projects from the general contractor community that we’re working with, where they’re working with other customers. And we wouldn’t generally even look at those, because we’re not in that, that footprint or geography. So, we’re seeing nice pickups from that.
Sean Eastman: Okay, excellent. Last one for me. When we think about new platform, acquisitions, being potentially on the table here, based on what you’re seeing, Joe, would you have to pay a multiple higher than where Sterling’s trading today to consummate those types of trades?
Joe Cutillo: Yes. Well, that’s a good question. I don’t know, if the legalized marijuana laws are transferring stuff further, further across the country, or some of the equity deals have made some of these sellers think their businesses are worth a lot more than they are. We’re certainly seeing higher prices in some areas in the marketplace. But we’re also seeing a lot of failed deals. Right. So, what’s very interesting is a lot of deals that came out early in the year with the attention, intention of selling either in the equity world or very high multiples have failed. And they’re coming back out and getting realistic about valuations. Right. So that’s just kind of a general term. One of the things that we’ve looked at a couple different areas for that four sector, and one of the limiting factors for us have been some of the multiples today, I don’t think we want to pay a significantly higher multiple than where we are today. We’ll keep plugging away. But there’s been a couple out there that would have fit from a strategic profile. And from a multiple profile, but for other reasons just weren’t the right fourth sector for us at this point in time. So, I won’t say never, as we get into things like broad talk about things like broadband, and some of that’s not both multiples are much higher. And I think that we would probably start out smaller and try to build something there. If we can get something in a fair multiple range if we were to go that route. But we’re also looking at several nice tuck-ins to our existing sectors. That would be not necessarily huge businesses, but accretive, nice incremental service potential and could help us grow organically a little faster.
Sean Eastman: Got it. Thanks. Very helpful call and congrats again. Nice job this quarter. Thanks guys.
Joe Cutillo: Yes, thanks, Sean. I don’t think, I’m sure my peers all feel it out there. But it’s – it looks like a, slightly above par quarter, but it was a phenomenal quarter with all the challenges faced out there and the Sterling team just knocked it out of the park for what we were challenged with.
Sean Eastman: Agreed.
Operator: Ladies and gentlemen, we have reached the end of today’s question-and-answer session. I would like to turn this call back over to Mr. Joe Cutillo for closing remarks.
Joe Cutillo: Thanks, Laura. I’d like to thank everyone again for joining today’s call. If you have any follow-up questions or wishes schedule a call, please refer to the information provided in the press release associated with our Investor Relations group at Sterling, or our partners at the Equity Group. Hope everyone has a great day and thanks again.
Operator: Thank you for joining us today. This concludes today’s conference. You may disconnect your lines at this time.